Operator: Welcome to the Dolby Laboratories Conference Call discussing fiscal third quarter 2008 results. During the presentation, all participants will be in a listen-only mode. Afterwards, you will be invited to participate in a question-and-answer session. [Operator Instructions]. As a reminder, this call is being recorded, Thursday July 31st, 2008. I would now like to turn the conference call over to Kevin Yeaman, Chief Financial Officer for Dolby Laboratories. Please go ahead, Mr. Yeaman.
Kevin Yeaman: Thank you, operator. Good afternoon and welcome to Dolby Laboratories' third quarter fiscal 2008 earnings conference call. Joining me today is Bill Jasper, Dolby Laboratories' President and CEO. In addition, Tim Partridge, Executive Vice President of Products and Technologies and Ramzi Haidamus, Executive Vice President of Sales and Marketing are here to participate in today's Q&A. On this conference call, we will be making forward-looking statements that include projections of future operating results for our fiscal year ending September 26th, 2008, market trends for the industries in which we compete, and our expectations concerning how those trends will affect our operating results, the capabilities and market acceptance of our products and technologies, and our strategic and operational plans. Important factors could cause actual results to differ materially from those in the forward-looking statements. These factors are detailed under the section captioned "Risk Factors" and elsewhere in our most recent and any subsequently filed Quarterly Reports on Form 10-Q available at www.sec.gov or on our website at www.dolby.com under the Investor Relations section. Dolby disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events, or otherwise. As for the structure of this call, Bill will begin with an overview of the business and I will follow with a run-down of Dolby's financial results. So, with that introduction behind us, I'll now turn the call over to Bill.
N.W. (Bill) Jasper, Jr.: Thank you, Kevin. Good afternoon everybody. Thanks for joining us today. I'm pleased to report solid results for Dolby's fiscal third quarter with year-over-year revenue and net income growing 29% and 56% respectively. During the quarter, we benefited from strong licensing growth in many of our markets and we believe that we continue to make progress on our long-term initiatives. On today's call, I would like to highlight the progress we are making in our markets and discuss the near-term and long-term opportunities we are focused on in an effort to drive additional growth. Starting with our PC market, we continue to make progress with our work PC Entertainment Experience Initiative, while seeing solid year-over-year growth in licensing from Vista and third-party ISVs. Through our PC Entertainment Experience program, we are enabling PC makers to integrate the same audio features, performance and flexibility found in many of the most popular consumer electronics devices, while offering a user-friendly graphic interface that makes it easier to configure and control the listening experience. A number of notebook and motherboard manufacturers are incorporating PCEE into new notebook models, including Lenovo, Acer, Toshiba, and MSI. In addition, HP announced that its new line of high-performance notebooks, the Voodoo Envy 133 will incorporate PCEE. We continue to build on this relationship and look forward to working more closely with HP. In addition to making progress in PCEE, we continued to benefit from strong global demand for consumer notebooks. Many of these notebooks contained DVD playback software through the inclusion of Microsoft Home Premium or Ultimate editions and/or third-party ISV software, all of which contained Dolby technologies. Turning to our broadcast market, we continued to benefit from the transition to digital television. In North America, Dolby Digital is the mandated audio standard for digital terrestrial broadcast and the de facto standard for U.S. cable and satellite providers. In February 2009, over-the-air broadcast in the U.S. as required by federal laws is switched to a digital signal. This means TVs will need to either have or be connected to an ATSC digital tuner, which contains our technologies in order to receive the signal. The government estimates that 15% of U.S. households still rely upon over-the-air broadcast. Currently, the government is subsidizing the cost of digital converter boxes, which contain our technology and are aimed at televisions relying on over-the-air broadcast. This quarter we began seeing initial revenue from sales of digital converter boxes and expect this market to continue to ramp into and beyond the February 2009 switch over date, as consumers adopt this technology. In South America, HE-AAC is the audio standard for digital terrestrial and mobile television broadcast in Brazil. In EMEA region, we believe we are well positioned to grow the adoption of Dolby technologies in digital televisions and set-top boxes. Currently, Dolby Digital is a recommended standard for multi-channel audio and European HD broadcast and many providers are including Dolby Digital in their HD set-top boxes. In addition, with the growing amount of on-air contest being broadcast in Dolby Digital, many television manufacturers are now incorporating Dolby Digital in their mid and high-end European television shipments. In the Asia-Pacific region, we are benefiting from activities in a number of countries. South Korea has adopted the ATSC standard and as a result Dolby Digital is included in South Korean TV shipments containing a digital tuner. Japan has adopted AAC as its audio formant for digital televisions and as one of the license holders of AAC, Dolby receives a portion of the AAC royalties. And we are excited that CCTV in China will broadcast the 2008 Olympic Games in 5.1. Finally, the addition of HE-AAC to our technology portfolio enables us to provide broadcasters worldwide, as well as digital radio on IPTV providers with a broader range of multi-channel solutions that meet their specific requirements. Given HE-AAC's efficient compression, we believe it is well suited for these providers looking to improve bandwidth efficiency. Turning to next generation DVD and gaming, we remain well positioned for potential upgrade cycles in each. In the DVD category, Dolby Digital is mandated in the Blu-ray format. We are beginning to see certain Blu-ray models offered by different retailers for below $300 and recently Wal-Mart offered a $100 rebate for an in-store purchase bringing the price below $200. In addition, as new manufacturers enter the Blu-ray market, prices may come down over time. Similarly in gaming, Microsoft reduced the price of the Xbox 360 to $299. With Dolby technologies incorporated in the Xbox 360, as well as the PS3 gaming consoles, we are well positioned if price cuts lead to volume growth. Turning to our near-term and long-term initiatives, we are making progress with Dolby Mobile, Dolby volume, and Dolby in digital cinema. In the third quarter, we continued to make progress in our Dolby Mobile initiative. Earlier this week, LG announced that it plans to introduce high-end multimedia handsets with Dolby Mobile to ship worldwide by the end of this calendar year. We have decided to build on a relationship with LG, which is a global technology and design leader in mobile communication. In addition, our relationship with NTDoCoMo and Sharp is progressing well. In May, Sharp announced that it plans to expand to four the number of handset models shipping in Japan with Dolby Mobile. We are pleased with the reception Dolby Mobile is receiving at various carriers and handset manufacturers, and we'll keep you posted on our progress, as we remain focused on this market. In our Dolby Volume initiative, we continue to work actively with manufacturers in the consumer electronic and broadcast markets. In June, Toshiba started shipping two HD television models in Japan with Dolby Volume. Dolby Volume allows consumer electronics products to deliver consistent volume levels from various audio sources, while enhancing dialogue and intelligibility and improving overall clarity of the audio content at lower volume levels. Turning to our Cinema initiative, we continue to believe the transition to digital cinema will be an opportunity for digital cinema and digital 3D products. Exhibitors are still committed to digital cinema, especially with complementary digital 3D technology helping to increase traffic and ticket prices. Yet some industry challenges still remain, including the ongoing negotiations between integrators and studios and the potential difficulty for system integrators to obtain financing in the current financial environment. It's still unclear how this will play out, but as the industry works through these challenges we believe we are well positioned to participate in the transition to digital cinema. In addition to our Digital Cinema server, we offer a 3D solution based on reusable glasses. We believe our 3D technology provides exhibitors a higher-quality 3D experience, lower average operating cost, and a more environmentally friendly design. While we have faced significant competition in the U.S. from alternative 3D technology solutions based on a disposable glasses model, we believe the value proposition of our 3D solution is well received by a number of exhibitors worldwide. Outside North America, many exhibitors have embraced Dolby Digital 3D. We remain focused on this market and look forward to keeping you abreast of our progress. In summary, we continue to benefit from many of our traditional markets and are investing in near-term and long-term opportunities to drive additional growth. With our established presence in global brands, we believe we are well positioned to capitalize on many of these opportunities. With that I'll turn it over to Kevin.
Kevin Yeaman: Thank you, Bill. I'd like to discuss Dolby's overall financial performance and highlight some of the major drivers for the quarter. Revenue for the third quarter was $154.3 million, up 29% year-over-year and down 11% sequentially due to seasonality. Third quarter licensing revenue was $127.6 million, an increase of 35% year-over-year and a decrease of 15% sequentially. PC licensing revenue was strong year-over-year while down sequentially. The sequential decline was the result of our fiscal second quarter benefiting from holiday season shipments. The strong year-over-year performance was largely driven by continued demand for consumer notebooks globally, many of which ship with Microsoft Vista Home Premium or Ultimate editions and/or third-party DVD playback software, each containing Dolby technologies. In addition, growth from PCEE was strong year-over-year. Broadcast licensing revenue experienced strong year-over-year growth, on demand for set-top boxes and digital television containing our technologies. Sequentially, broadcast revenue was flat as the effects of seasonality were offset by set-top box strengths. CE licensing revenue was slightly up year-over-year and down significantly from the second quarter, but in line with typical seasonality. Within CE, licensing revenue from the DVD category was roughly flat year-over-year. Licensing revenue from our other markets category nearly doubled year-over-year. The addition of our mobile market and increased royalties related to our AAC and HAAC patent pool were the primary reasons for year-over-year growth. Contributing to the growth in these patent pools was a couple of reports that included shipments from the December quarter, which benefited the mobile and gaming markets. Sequentially, revenue from our other markets category was slightly up, as increased royalty and administrative fees from the AAC and HAAC patent pools made up for decreased gaming revenue following the seasonally strong second quarter for gaming. Third quarter product sales were $18.1 million, up 5% year-over-year and 16% sequentially. The year-over-year increase was the result of the addition of our 3D products, which were not available in the third quarter of last year, as well as increased broadcast product sales. The sequential growth was the result of increased traditional cinema audio processor sales to international exhibitors. Third quarter services revenue was $8.7 million, an increase of 14% year-over-year and 19% sequentially. Revenue growth was primarily driven by services price increase that began in April and by mastering services for an increased number of foreign titles. Turning to margins; our licensing gross margin was 97% in the third quarter. We expect licensing margins to be approximately 97% for the full fiscal year 2008. Our product margin was 48% in the third quarter of fiscal 2008, an increase of 3 points sequentially. In the fourth quarter, we expect product margins to decline due to lower factory utilization, since the ramp to digital cinema is slower than planned. As a result, we expect fiscal fourth quarter 2008 product margins to be approximately 40% and to be slightly under 45% for the full fiscal year. At the end of the third fiscal quarter, we had $24 million in deferred revenue related to digital cinema and 3D products and services compared to $17 million in the second quarter. We continue to expect to recognize this revenue in the first half of fiscal 2009, once the third-party certification process is completed. Turning to services gross margin, it was 63%, up 6 points sequentially resulting from the price increase beginning in April. Operating expenses were $70.1 million in the third quarter of fiscal 2008, down 1% from the prior quarter. In the fourth quarter of fiscal 2008, we expect operating expenses to grow about 5% sequentially as a result of Sarbanes-Oxley and audit fees, which tend to be seasonally highest in our fiscal fourth and first quarters, as well as increased fees related to corporate initiatives, sales and marketing programs, and increased payroll costs, as we continue to invest in multiple growth initiatives. Turning to tax, our tax rate for the third quarter of fiscal 2008 was 34% and we expect our tax rate for the fourth quarter of fiscal 2008 to be 35%. Fiscal third quarter net income was $46.4 million or $0.40 per diluted share compared to $29.7 million or $0.26 per diluted share for the third quarter of fiscal 2007. Net income reflects stock-based compensation charges of $5.6 million for the third quarter of fiscal 2008 and $5.1 million for the third quarter of fiscal 2007. Net income also reflects charges related to the amortization of intangibles of $3 million for the third quarter of fiscal 2008 compared to $1 million for the third quarter of fiscal 2007. Turning to the balance sheet, Dolby finished the quarter with approximately $600 million in cash, cash equivalents and marketable securities. We added approximately $51 million in cash flows from operations in the third quarter. Let me turn to outlining our expectations for fiscal 2008. For licensing, we now anticipate revenue of between $510 million and $525 million in fiscal 2008. For products and services, we now anticipate revenue of between $95 million and $100 million. In summary, we now expect fiscal 2008 revenue to be approximately $605 million to $625 million. We now expect net income for fiscal 2008 to be approximately $181 million to $190 million, and earnings per diluted share to be approximately $1.57 to $1.65 per share. We now expect stock-based compensation expense for the full year to be approximately $23 million and we continue to expect amortization of intangibles to be approximately $13 million. This concludes our prepared remarks. I would now like to turn it over to the operator for questions. Please go ahead, operator. Question and Answer
Operator: Thank you, ladies and gentlemen. [Operator Instructions]. Our first question comes from Ingrid Chung with Goldman Sachs.
Ingrid Chung: Thanks, good afternoon. So, my first question before the follow-up is about your SG&A line, obviously you've had very good revenue growth on the order of 35% or so this fiscal year, but your SG&A line has also grown at a pretty healthy rate also around 30%. Given your fairly leveragable business model, I was just wondering what's driving that, and if you do face a deceleration in revenue at some point, let's say in fiscal '09, would this line also grow more slowly?
Kevin Yeaman: And just because you are comparing year-over-year SG&A?
Ingrid Chung: Year-over-year.
Kevin Yeaman: Yes. So, well there is a couple of things to keep in mind. First of all, remember that we did acquire Coding Technologies towards the end of last year. So, all of those expenses are falling into 2008. Keep in mind that associated with both our Coding Technologies and our BrightSide acquisitions are some amortization of intangibles, which are hitting in '08 and not 2007. And then finally, we have been investing in operating expenses because we have a number of growth initiatives that we have talked about and articulated here, including our Mobile initiative, our Dolby Volume initiative, our digital cinema and 3D efforts, and that is really the reason for the increases and I'm sure you will have noticed that, excluding those increases in amortization of intangibles we had a substantial increase in operating margins year-over-year and that operating expense as a percentage of revenue has come down year-over-year.
Ingrid Chung: Absolutely. Okay. And then my next question is on Dolby Mobile, I was just wondering if you could give us an idea of the magnitude of Dolby Mobile licensing and how does... is that kind of more on the order of PCEE rather than just the third-party ISV payments?
Kevin Yeaman: Well, early days. As you know, we've said that our mobile revenue in 2008 is comprised of primarily HAAC revenue as a result of our acquisition of Coding Technologies and their strong position in the multimedia handset market. We've just announced our second win for Dolby Mobile with LG. We think this validates that it's a significant opportunity going forward for us. They've announced that they expect to have handsets in the market by the end of this calendar year. So, the revenue opportunity for Dolby Mobile is set to begin in 2009.
Ingrid Chung: Okay, great. Thank you.
Operator: And we'll take our next question from Ralph Schackart with William Blair.
Ralph Schackart: Hi, good afternoon. Congrats on another great quarter. A couple of questions, first on the PC side of the business, can you talk a little bit more granular, please, on the attachment rates? Are you seeing any changes there? It seems like the business continues to hummer along, but specifically to Vista, the ISVs, and the EE [ph] experience?
N.W. (Bill) Jasper, Jr.: Sure. So, as it relates first of all to DVD playback, we continue to see strength in the attach of Vista Premium as a percentage of total Vista units or I should say Microsoft continued to see strength in that area and they reported again just a few weeks ago a strong premium attach rate on the consumer side, which was what we look to. So, we continued to see strength there and we also continued to see strength on the ISV attach rate of DVD players due in part because notebooks do continue to grow faster than desktops, which tend to have higher attach rate of those products. On PCEE, we continued to add new lines of the... one that we talked about on the call is the Voodoo line from HP. So, we continue to look at growing PCEE as a part of that PC market.
Ralph Schackart: Great. And then on the CE side of the business, is that DVD was flat year-over-year and it was down significantly sequentially, is there seasonality there or is there anything else sort of going on, on a sequential basis?
N.W. (Bill) Jasper, Jr.: It's seasonality, we tend to see. Our second fiscal quarter, of course, reflects the December holiday quarter shipments. And so we typically would see that in that portion of our licensing revenues. And we did see, as I said in the remarks, pretty flat revenues from DVD playback. And as we look forward, we continue to plan on lower DVD shipments going forward. And that's what we continue to base our guidance on.
Ralph Schackart: Great. One more and I will turn it over. In terms of the outlook for the balance of the year, obviously the U.S. more specifically had benefited from the tax rebates and the CE industry has sort of been defiantly strong. As you talk to your customers and end markets and retailers, can you give us some color what they are sort of bracing for on a go-forward basis after the tax rebates have worked their way through the system?
Kevin Yeaman: Well, I think in terms of how we are basing our guidance, you'll see that we had a 35% year-over-year licensing growth rate in Q3 and our guidance works out to about 11% to 21% in Q4. So, I think that's a reflection of partly that... we fully lapped Vista, but partly because we are reflecting in our guidance kind of what the collective thoughts of our customers, industry analysts, etcetera are, what their expectations are for unit growth. I wouldn't say that I've heard anything that's inconsistent with what you probably tend to read in the papers in the headlines each day. I don't know, Ramzi, if you have any particular thoughts on that, no. Does that answer your question, Ralph?
Ralph Schackart: It does. Thanks, Kevin. Thanks, Kev.
Operator: We will take our next question from Mike Olson with Piper Jaffray.
Michael Olson: All right, thanks. Good afternoon. You guys have done a pretty good job of communicating that gross margins are going to be impacted next year by beginning of recognition of digital cinema. It sounds like you expect to start in the first half of the fiscal year, can you just give us any sort of ballpark for what gross margin you're thinking for next year?
Kevin Yeaman: Yes, we're not going to, of course, be giving full guidance on '09, but we've said in the past that if we were to recognize all the deferred revenue in one quarter that the margins could dip below 30% in that quarter. And then we are going to work to get back to a steady state of somewhere around 40% is what we are targeting. But of course we'll update that when we give 2009 guidance on the next call.
Michael Olson: And as far as Dolby Volume on the competitive front, I know SRS has been working on some stuff on volume consistency, and just wondering are there any other TVs that you know of currently shipping out there with volume consistency technology other than the Toshiba TVs in Japan?
N.W. (Bill) Jasper, Jr.: Not at this time, we continue to go after the high-end type solutions, whether it's televisions or AVRs. We are working on an increase in efficiency of the code itself, thereby allowing us to go out into the mid to lower end markets, that's more on the longer term, however.
Michael Olson: Okay. And then just one last one, as far as Europe, any flavor you can give us or what percent of TVs in Europe are shipping with Dolby?
Kevin Yeaman: So, we've been projecting what we think it will be for the full year and we previously said, we thought about a third of TVs, which shipped. We are actually seeing it come in this year less than that probably in the 20s, but having said that we are in a number of manufacturers or in a number of models and so we are extremely encouraged by the number of models we're in and we still think it's just a significant growth opportunity, it's just that more of that growth is in front of us. I think the growth in broadcast was driven both by set-top box growth and by increasing attach rates on both TVs and set-top boxes in Europe, and then of course in North America we are seeing the continued adoption of digital television and we began to see some converter box shipments, but it still is primarily a 2009 event, we think.
Michael Olson: Okay, thanks a lot.
Operator: We'll take our next question from Brian Thackray with Deutsche Bank.
Brian Thackray: Hi. Thanks, guys. Good quarter. As you take a look at the Blu-ray market, can you maybe share some insight in terms of with what you are seeing in the marketplace, how significant a factor do you think that can be in the first half of next year for you?
N.W. (Bill) Jasper, Jr.: The Blu-ray market is an interesting one, because there are several factors that are playing out as we speak. Obviously there is the fact that the consumer hasn't had a lot of exposure yet to the experience itself, so in order to really appreciate what Blu-ray has to offer, a consumer needs to see a Blu-ray disc playing on a Blu-ray player along with an HDTV television to appreciate the experience. So, what we are observing is a slow ramp up, as consumers get more exposed to that experience and when they do, they do... and to acknowledge they are different. We also are seeing a lower than usual number of SKUs in the marketplace than would have liked to see. And we are hoping that, as the consumer benefit and proposition does increase that that number will... that will go up over time. Overall, we continue to stay encouraged that this format will take off, the fact that HD-DVDs no longer on the scene has helped significantly, the pricing has come down to under $300, in some cases around $200 along with some rebates. So, the long-term trend is very encouraging, but I cannot say that the uptick has been as fast as standard definition DVD.
Brian Thackray: That's helpful. And Kevin on the operating leverage side, you guys for the last year have gone through a pretty significant investment phase, you are flat sequentially on OpEx. Could this signify maybe a slower growth on the OpEx side compared to maybe the last 12 moths on an organic basis?
Kevin Yeaman: I'm not going to get into '09 guidance yet. For the fourth quarter we did say we saw it increasing by 5%, part of that is just because of things like audit and SOX fees, which do occur in the fourth and first quarters for us, and part of it's investment in growth initiatives. But we are in the middle of our '09 budgeting and resourcing cycle, so I think we'll just... we'll give you an update on the next call.
Brian Thackray: Okay. Thanks, guys. Good quarter.
Operator: We'll take our next question from Paul Coster with J.P. Morgan.
Paul Coster: Thank you. We are seeing a little bit of evidence in U.S. retail of trade downs happening, people buying smaller DTV screens and although they are buying uplink DVDs, maybe the feature set or a few models of that, even [inaudible] recently, if that happens you see trade downs, what does that do to your licensing? Does it matter or is it just... is it mainly a function of unit volumes or is it also a function of the value of the product?
Kevin Yeaman: Our ASP on the licensing side, as we unrelated to the selling price of the unit, so long as the television itself has our technology, whether it be Dolby Digital or Dolby Digital Plus, then we do commend the same royalty irrespective of its size or the ASP of the product itself, so we don't see that as affecting us.
Paul Coster: Okay. Video was sort of mentioned as the potential growth avenues a couple of years ago and it has not really saw a figure very prominently since... I think and some dynamic range technology is going through some Japanese TVs, but is it still a growth opportunity, what's happening with it?
N.W. (Bill) Jasper, Jr.: We are very excited about our HDR or high-dynamic range technology opportunity. We have demonstrated in several venues the feedback continues to show that there is market demand and this is a long-term play for us, whether it's an end-to-end play or just a single-ended play, we will be pushing our technology over the next year working with implementers of HDR, so we are still excited about it, but we do see it as a long-term play for the company.
Paul Coster: Can you just explain how it is an end-to-end because obviously most of it's just an end technology?
N.W. (Bill) Jasper, Jr.: High-dynamic range is a delivery format and not just a single-ended play and we've mentioned in the past that this is something that's very much in line with the ecosystems that the company has played in the past. So, the delivery of high-dynamic range content is something that we see as an exciting opportunity, but again this is more of a longer-term play.
Paul Coster: Okay, thank you.
Operator: We'll take our next question from Steven Frankel with Canaccord Adams.
Steven Frankel: Good afternoon and again congratulations on a great quarter. Just to go over the digital cinema deferred revenue one more time. What has to happen and have you made... has the industry organization made enough progress in the last three months to give you confidence in that H1 deadline for recognizing this revenue?
Kevin Yeaman: In terms of the recognition of revenue, one of the primary milestones for us is to get formal DCI certification from a certification body to be appointed by DCI and for color behind that, I'll turn it over to Tim.
Tim Partridge: Yes, that's right. You will remember in the past that we were working to complete our system, but it didn't meet the DCI spec. The DCI spec has certainly settled down in recent months. So, we believe that we have completed the engineering work to get there, but we still need to get through this step of having a third party, verify that, and certify it. It is something that the industry is working closely on and we do believe that they are close enough that they should be able to get this done relatively soon, which is why we are saying that we believe we'll be able to recognize it in the first half. But it is something that's out of our hands at the moment.
Steven Frankel: And you have had good traction internationally in 3D, do you think there is still a U.S. market opportunity or are you really positioning as much more of an international play for you?
N.W. (Bill) Jasper, Jr.: Yes, we think it's a worldwide play. 3D certainly is still very attractive to exhibitors in terms of driving traffic and increase ticket prices. And it's a very small portion of the market that has converted so far. As we said on the call, we are having more subsets [ph] internationally, but we think this is a worldwide phenomenon and that's where we'll continue to target our technology.
Steven Frankel: Okay. Great. Thank you.
Operator: [Operator Instructions]. We'll take our next question from Andy Hargreaves from Pacific Crest Securities.
Andrew Hargreaves: Hi, guys. Can you give us any detail on international standard def DVD trends and I am thinking specifically about emerging markets?
N.W. (Bill) Jasper, Jr.: Can you speak up please? We can't hear you.
Andrew Hargreaves: Yes, sorry, can you hear me now?
Kevin Yeaman: It's better.
Andrew Hargreaves: Okay. Can you just talk about international standard def DVD trends, especially in emerging markets? It seems like it must be fairly strong offset some of the weakness here in U.S. and Europe?
N.W. (Bill) Jasper, Jr.: So, the uptick in BRIC has been healthy, we have seen an increase in DVD outside the developed countries. As we mentioned in the past has been and continues to be a compliance issue when it comes to collections around standard def DVDs or general products when we start looking at those geos. So, yes, there's been an increase in uptick in third-world countries, but some of these countries do build locally by very small manufacturers, which sometimes are not even licensed and therefore we run into a challenge of collections, so it does not correspond to a one-to-one revenue had it been, for example, a shipment coming into the U.S. or a DVD sold in the U.S. or in Europe, for example.
Andrew Hargreaves: Have your collections been improving there though or...?
N.W. (Bill) Jasper, Jr.: I think that we.... it's the type of thing that is going to be a concept, part of our lives. We continue to develop resources to it both in terms of internal resources to be on the ground in these markets and learn what the ecosystem is like. And then also conducting activities like royalty audits, working with customs officials, etcetera. So, I think that we're doing well, we always think we can do better and we'll keep on top of it.
Andrew Hargreaves: Okay. And then just a real quickie. Can you give us revenue for any 10% customers in the quarter?
N.W. (Bill) Jasper, Jr.: Well, sorry. We couldn't understand it either.
Andrew Hargreaves: Can you give us revenue numbers for any 10% customers in the quarter?
Kevin Yeaman: We had, one... I believe, it's... I'll double check, I believe it's one 10% customer in the quarter.
Andrew Hargreaves: Okay, thanks.
Operator: We'll take our next question from Hunter DuBose with Morgan Stanley.
Hunter DuBose: Hi, guys. Thanks for taking the questions. My first is, I believe that you've previously indicated that you had visibility into the sustainability of the inclusion of the third-party ISVs in addition to Vista on PCs through, I believe you had said either the first or second fiscal quarter '09. Can you give us any update on whether you have further visibility beyond that point?
N.W. (Bill) Jasper, Jr.: We haven't really seen any changes in market dynamics. Our last update on this market is that we continue to see strong attach rate that the ISV attach rate hasn't led up. And we continue to see the same dynamics moving forward. So, as of now, we are encouraged in the sense that we are one, don't see a drop in the mix between Home... the Vista Home Premium and Basic. Therefore we see that first attach rate and the second part of it is the ISV, which seems to be... continue to be strong, therefore the double, the double players in the product moving forward. So, overall still same update as last into next year.
Hunter DuBose: Right. Okay. And as far as Coding Technologies is concerned, I believe that you've previously guided at the time of the acquisition that we should be expecting around $20 million of revenue from that acquisition during the year. Can you comment on whether you're on track for that?
Kevin Yeaman: It's pretty much about on pace with what we were expecting and so, yes.
Hunter DuBose: Okay. And can you comment on the...
Kevin Yeaman: To an earlier comment that I was going to come back and confirm [inaudible], but we did have one 10% customer in the quarter with 12% of revenue and that's in our 10-Q, which was filed earlier today.
Hunter DuBose: Okay. Can you comment on the contribution to licensing revenue by the various categories?
Kevin Yeaman: Sure. So, we walked through in the prepared remarks market-by-market, how they performed, the growth in the quarter was driven by... PC was one of the big growth drivers again, in absolute dollars that was the largest growth driver.
Hunter DuBose: Can you comment specifically on the percent contribution to revenues?
Kevin Yeaman: Sure. So for 2008, we don't generally go the composition by quarter. For 2008, we think that PC will…we continue to expect that PC will rise for 2008 to about 40% of revenue from about 35% in '07. We think CE is going to fall probably to just under 30% from just over 35% in '07, and broadcast will rise to somewhere between 15% and 20%, and other makes up the balance, but is increasing year-over-year.
Hunter DuBose: Great. Okay. And final question, I think you've said in your prepared remarks that there were some catch-up licensing revenues in this quarter from the December period. Can you comment on the magnitude of that?
Kevin Yeaman: Yes. So, I was…that was in the other markets category, I mentioned that we had a couple of reports that related to the AAC and HAC patent pools related to December quarter. One of those was late, so that you could call that a catch-up royalty. The other is there is a few customers that report biannually, so it was normal in that sense. But in any event and you should be thinking of the term, the magnitude of that in Q3 is just over $5 million. [inaudible].
Hunter DuBose: Great. Thank you very much.
N.W. (Bill) Jasper, Jr.: But we should point out that since they give report every six months and we are going to see potentially this... going forward not the whole amount, but we'll have some lumpiness from quarter-to-quarter as a result.
Hunter DuBose: Great, thank you.
N.W. (Bill) Jasper, Jr.: [Inaudible] generally there are…they are not all on the same schedule.
Operator: [Operator Instructions]. And there appear to be no further questions at this time. I would turn the conference back over to our speakers for any additional or closing comments.
N.W. (Bill) Jasper, Jr.: Okay. Once again we appreciate everybody joining us for the earnings call and look forward to speaking with you next quarter. Signing off, thank you.
Operator: And that does conclude today's conference. We thank you all for your participation and you may now disconnect.